Operator: Good day ladies and gentlemen, and welcome to the Q2 2019 Apogee Enterprises Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s conference call, Mr. Jeff Huebschen. You may begin, sir.
Jeff Huebschen: Thank you, Kevin. Good morning everyone and welcome to Apogee Enterprises fiscal 2019 second quarter earnings call. With me today are Joe Puishys, Apogee's Chief Executive Officer; and Jim Porter, Chief Financial Officer. I would like to remind everyone that there are slides to accompany today's remarks, which are available in the Investor Relations section of Apogee's Web site. During this call, we will reference certain non-GAAP financial measures. Definitions of these non-GAAP measures and the reconciliation to the nearest GAAP measures is provided in earnings release we issued this morning, which is also available on our Web site. Also I would like to remind everyone that our call will contain forward-looking statements reflecting management's expectations, which are based on currently available information. Actual results may differ materially. More information about factors that could affect Apogee's business and financial results can be found in our SEC filings. And with that, I will turn the call over to you Joe.
Joe Puishys: Thank you, Jeff and welcome to Apogee. Jeff joined us recently to lead Investor Relations and he comes to us with a wealth of experience and we’re happy to have him here. By now, everyone has had a chance to read our press release and look at the numbers. Strong market conditions helped us deliver solid organic growth, our adjusted earnings per share in line with a year ago, and increased cash flow. Our Architectural Framing Systems, Architectural Services, and Large Scale Optical segments all delivered solid results and in line with our expectations. However, the Architectural Glass segment faced significant challenges as it ramped up production to meet faster-than-expected demand increases. This caused the business to fall well short of our expectations for the quarter and to impact our full-year outlook. This morning, I would like to discuss; one, the issues that impacted our Glass business and the plan we have in place to resolve these challenges. I will review the quarter's highlights across the rest of our businesses and discuss Apogee's positioning for the future and then I'll turn it over to Jim for more details on the quarter and our outlook. So, starting with digging into the Glass segment. Over the past few quarters, we’ve been anticipating a rebound in our Glass business. As we saw increased bidding and customer commitments that we prior commented on, we continued to win in the mid-size market, and we regained share in large projects. This recovery played out as we had hoped and in an inherently lumpy business, it happened even more abruptly than projected. We saw surge in customer demand over the last 90 days, making the second quarter the Glass segment’s strongest quarter of orders in over 15 years, including prior peak levels. We saw strong orders across the segments of the market, all three segments, including some nice wins in our traditional core market of large project work. Unfortunately, the slope of this recovery was substantially steeper than we expected, and we struggled to rapidly ramp up production levels in our factories. At the root of the issues was the challenge of hiring and training qualified new employees in an extremely tight labor market. To put some detail behind this, during the quarter, we added over 300 new employees in our Glass factories, a 20% increase to the workforce within the quarter. It's taken longer than expected to recruit, hire, train, and retain the new staff and to bring them up to targeted productivity levels in our complex custom manufacturing operation. As we worked through this ramp up, we experienced the drop-off in margins and higher scrap rates, lower throughput, and more expedited orders, all related to the influx of new employees. Should we have been better prepared for these challenges? The simple answer is, yes. We've successfully managed through fluctuations in our Glass business before. However, the magnitude of the order ramp up we experienced and the preceding drop-off over the prior four quarters was much greater than expected, and we were surprised by the difficulty we faced recruiting and hiring new staff in the current labor market. The fluctuations in orders over the last four quarters mirrored what normally happens over four years. While we're disappointed with these results, these are manageable challenges, which we’ve taken aggressive steps to address and return this business to its typical levels of performance. As I mentioned, we’ve added over 300 new employees. Operational performance with these new employees progressed as we moved through the quarter. With improved productivity in August compared to June and July, we've enhanced our new employee training to address the scrap, rework, and other issues we saw in the quarter. We've also deployed quality and lean manufacturing resources from across the rest of Apogee to help the Glass segment manage their production ramp-up. Finally, we continue to make targeted investments in automation to relieve labor-related pressures. Though we have challenges scaling production fast enough to meet demand, the orders we saw in the quarter demonstrate the underlying strength of our Glass business. Viracon is a leader in its market. Just as importantly, we have a world-class team, which is up to this challenge. With our recent order strength, we have visibility to revenue growth for the remainder of fiscal 2019, and we're building momentum that will carry into the new year. Our backlog in Glass is at its highest level in my 7-year history at Apogee. I'm confident we'll see steady improvement and return to typical levels of productivity and margins in the Glass segment as we move through the rest of the year. This is not about taking a business to unprecedented levels of performance and heights, rather this is restoring a very good business to its historical performance and we're up for this challenge. Shifting to the rest of Apogee, performance in the quarter was solid across our other three segments, which you can see from my comments on Slide 4 in our presentation. Total company revenue grew a healthy 5% in spite of the 10% headwinds from Glass, our 14th consecutive quarter of year-over-year sales growth. The growth was organic as we’ve now anniversaried the EFCO acquisition. Growth was driven by Architectural Services segment, which was up more than 60% in the quarter as we continued to execute on the backlog we booked over the past several quarters. Services backlog remained strong and the segment is fully booked for the remainder of fiscal 2019 and much of fiscal 2020. Just as impressively, Services turned in 10% operating margin, a nice ramp up from 7.3% in the first quarter. While margins benefited from operating leverages, Services also had strong execution across its project portfolio in the field. The business has fully embraced our continuous improvement in lean initiatives, and they’ve made great strides in improving project selection and pricing. Taken together, Services is a much better run business today with a strong outlook into fiscal 2020 and beyond. Results in Architectural Framing were in line with our expectations with revenue and operating margin comparable to last year. Our Legacy Framing Systems businesses, those which we’ve been running under our playbook for the past 5 years continued to perform quite well offsetting expected lower growth in margins in our recently acquired businesses. We continue to make steady progress in our improvement initiatives at these acquired companies. Finally, Large Scale Optical had another solid quarter. Year-to-date, this segment has delivered 6% topline growth and continues to post 20% plus operating margins. The Large Scale Optical is a well run, efficient business that is uniquely positioned in its core markets. We expect continued steady performance through the rest of the fiscal year. Putting it all together, we delivered adjusted earnings per share of $0.75, in line with our prior year, despite the significant drop-off in Architectural Glass. Cash flow also remained strong with nice year-to-date growth in free cash flow. Looking at our outlook, performance across most of our businesses I noted was solid. Yes, I'm frustrated with the short-term production issues in Glass, but I'm confident as ever in the markets we serve our strategy and our long-term direction. Slide 5 in my presentation frames my confidence in our business. First, we discussed over the past several quarters we've made tremendous progress in reshaping and diversifying Apogee's business mix. Apogee has delivered consistent year-over-year revenue growth every year since 2011, a trend that will continue this year. We've achieved this consistent growth despite variability and lumpiness in our end markets, which highlights the strength of this diversification. The chart on Slide 6 also illustrates how we've shifted our emphasis to Architectural Framing, a segment where we have strong competitive positioning in a fragmented market and where we see our most significant long-term opportunities for growth and margin expansion. We've assembled a strong collection of market-leading businesses with multiple growth levers across our portfolio. In each of our segments, we have opportunities to increase market share, expand into new geographies and markets and to introduce new products. These growth opportunities are supported by solid bidding in order activity, a robust and increasing backlog and continued favorable outlook for North American commercial construction market. This visibility gives us confidence in our outlook for top line growth for the rest of the fiscal year and fiscal 2020. We are also pursuing numerous opportunities to improve operating margins across our business segments. We’ve already discussed near-term plans to return profitability in Glass to our typical levels and beyond. In Framing Systems, we’re executing a multiyear plan to move operating performance in our recently acquired businesses, EFCO and Sotawall toward the 10% plus operating margin level that we achieved many years ago in our legacy Framing businesses. Apogee has developed a disciplined playbook of reliable repeatable business processes, which have allowed us to make significant margin gains in our Legacy Framing businesses. We are applying these methods to drive performance improvements at EFCO and Sotawall. We are also continuing to work towards realizing the purchasing and operational synergies from these acquisitions. Throughout Apogee, we're making further investments in automation and driving our lean and continues improvement strategies to increase productivity and lower costs. We are also pursuing geographic expansion in our most profitable core businesses. Finally, Apogee remain -- maintains a very strong financial position. We’ve a solid balance sheet, low debt levels, and a track record of strong cash flow. This gives us significant financial flexibility to drive shareholder value. As I mentioned last quarter, while acquisitions remain a part of our long-term strategic growth, our current focus is on improving operational performance of our recently acquired businesses and returning Glass in the short-term to its place at significant operating margins. We will continue to make disciplined investments and high return internal projects that add capability and drive productivity gains. And we continue to evaluate returning cash to shareholders through share repurchases and our regular dividend. With that, I will pass the call over to Jim, who will provide more details on the quarter and our outlook, and then I'll come back closing comments and take your questions. Jim?
Jim Porter: Thanks, Joe, and good morning, everyone. I will begin on Slide 8, with our consolidated results. Consolidated revenue was up 5% driven by strong growth in Architectural Services. This was partly offset by a decline in Architectural Glass. Total company operating income increased to $28.7 million primarily due to increased volume and higher productivity in Architectural Services along with good performance in Architectural Framing Systems and Large-Scale Optical, partially offset by the profit decline in Architectural Glass that Joe discussed. Adjusted operating income was $29.7 million, which adjust for the amortization of short lived intangibles from the Sotawall and EFCO acquisitions. Adjusted EBITDA was $42.1 million. Earnings per diluted share were $0.72 compared to $0.60 in the prior year period. Adjusted earnings per share were $0.75 even with last year. Now I will turn to the segment results, which are on Slide 9. In Architectural Framing Systems, revenue of $189.9 million was roughly in line with the prior year. Adjusted operating income improved slightly in the quarter to $19.4 million with adjusted operating margin of 10.2% compared to 10.1% last year. We continue to have good momentum in the Framing Systems businesses that have been in our portfolio for more than two years. Architectural Framing Systems also had another strong quarter of orders led by some nice project wins in the longer lead time portions of the segment. Segment backlog kicked up to $428 million. Joe already described the factors driving results in Architectural Glass. Segment revenue was up 15% sequentially compared to the first quarter marking the segments first quarter of sequential growth since the end of fiscal 2017. In relation to the prior year, revenue declined 9.5% to $88.1 million. As Joe described, orders increased dramatically beginning early in the quarter reaching a multiyear high point for quarterly inbound orders for quick turn. The challenges with hiring and training new production staff to meet this demand along with lower leverage lead to a decrease in operating income, which came in at $1.7 million compared to $10.3 million last year. We're confident in the ability of Architectural Glass to return to operating performance levels it has and can perform at and we are seeing weekly progression towards that. Architectural Services turned in another terrific quarter. As expected, revenue grew sharply over last year increasing 63% to $76 million. Operating income came in a bit above our expectations at $7.6 million and margins were 10%. This strong performance was driven by a leverage on volume growth, a favorable project mix and strong execution. Segment backlog decreased sequentially during the quarter, but still stands at a healthy $405 million. At this back level, Architectural Services fiscal 2019 is fully booked and we have good visibility in fiscal 2020 and beyond with a strong project pipeline. The Large-Scale Optical segment continued to deliver a solid performance this quarter. Segment revenue was flat compared to last year. Fiscal year-to-date, Large-Scale Optical has grown by 6% tracking to our mid single-digit growth expectation for the year. Segment operating income was also in line with the previous year as the segment continued to deliver a consistent 20 plus operating -- 20% plus operating margins. Turning to Slide 10. The company's financial position remains strong. Total debt stands at $225 million or roughly 1.3x trailing 12-month EBITDA. We continue to generate cash with year-to-date cash flow from operations of $48 million, which is 17% above last year's level. Year-to-date, capital expenditures have been $24 million as we continue to make disciplined investments in high return projects that will add capabilities and improve productivity. Free cash flow stands at $25 million year-to-date compared to $14 million through the second quarter last year. In the first half of the fiscal year, we returned approximately $9 million of cash to shareholders through dividend payments, 10% higher than last year. Finally, let me turn to our outlook for the remainder of the fiscal year. Slide 11 presents an updated look at our guidance. We now expect full-year revenue growth between 8% to 10% with lower projected revenue in Glass and Architectural Framing Systems and from our prior guidance. We expect Architectural Glass revenue will be flat to slightly down for the full-year as some of the revenues we weren't able to capture in the second quarter won't be recovered. As throughput in the Glass segment improves, we expect sequential growth in the third quarter and again in the fourth quarter. We expect Architectural Framing Systems revenue will be up nearly 10% for the full-year. Driven by project related timing, we now expect lower sales in the third quarter, which should show a slight decline to last year and with the fourth quarter the strongest of the year with growth over the prior year. Architectural Services will be up around 30% for the full-year with year-over-year growth moderating through the second half of the year based on project schedules. And we continue to expect mid single-digit full-year growth in Large-Scale Optical with the fourth quarter the strongest. Our outlook for operating margin is now at a range of 8.3% to 8.8% and adjusted margin of 8.6% to 9.1% with lower expected Architectural Glass margins offsetting an improved outlook in Architectural Services. We previously expected full-year margins in the Architectural Glass segment would approach 10%. We now expect steady improvement from the 2% margin level in the second quarter, but full-year operating margins are expected to be between 6% and 7%. We now see Architectural Services segment margin for the full-year between 7% to 8%. Our disciplined project selection process is facilitating continued strong project execution. Our full-year margin forecast for Architectural Framing Systems and Large-Scale Optical are consistent with our prior guidance. Framing Systems at approximately 8% and Large-Scale Optical almost 25%. We are expecting interest expense to be slightly higher than we previously expected and we continue to forecast our tax rate at approximately 24%. Putting it all together, we now expect earnings per share in the range of $3 to $3.20 and adjusted earnings per share of $3.13 to $3.33. We estimate depreciation and amortization for the year at approximately $53 million. As we’ve described in the past, our business is inherently lumpy driven by large projects and customer construction schedules with timing that’s often beyond our control. [Technical difficulty] difficulty forecasting quarter-to-quarter changes. With that said, we currently expect stronger overall performance in the fourth quarter than in the third quarter, as the Glass segment continues to make progress and as expected project timing holds down third quarter results in the Framing segment. With that, I will turn the call back over to Joe for some concluding remarks.
Joe Puishys: All right. Thanks, Jim. So as I said earlier, we are not happy with the operational issues in the Glass segment this quarter. This was a bump in the road, a significant one I admit, but it is nonrecurring. The strength of the rest of our businesses were on display as we delivered solid organic growth, in line year-over-year adjusted EPS, higher cash flow despite the significant margin shortfall in Glass. And I'd like to reiterate that the challenges in Glass segment were due in part mainly due to the strong customer demand for our products, a surge in orders and significant sequential revenue growth, which all point to the segments long-term underlying strength. In the third quarter, we expect our Glass segment will improve operating margins by several hundred basis points compared to Q2 and Q4 will similarly be better than Q3 by several hundred basis points margin. Industry fundamentals remain very positive, which together with our significant backlog and strong order activity give us good confidence in our direction for the rest of the year and into the future. Finally, cash flow and our balance sheet remains strong which positions us well to deliver long-term shareholder value. With that, I would like to open-up for questions, and Kevin, if you would please do so. Thank you.
Operator: [Operator Instructions] Our first question comes from Eric Stine with Craig-Hallum.
Eric Stine: Good morning, everyone.
Joe Puishys: Good morning.
Jim Porter: Good morning.
Eric Stine: As you look or think about the business over the next couple quarters, I think you called out Framing and that’s a component in fiscal '19 due to timing. Do you think that in 3Q, 4Q, you will largely have the Architectural Glass, the issues you’ve experienced wrapped up and pretty much back to where you want them to be entering fiscal '20, or do you expect there to be a little bit of an impact in fiscal year '20?
Joe Puishys: Yes, Eric, I will take Glass, and Jim will comment on Framing. Yes, absolutely, we expect to end the fourth quarter -- the margins in the fourth quarter should be back to normal or very close to normal. We will certainly end the full -- the year, let's call it, the February results, I would expect to be at least at what we would have expected going into this year. I did mention several hundred basis points of margin improvement in Q3. Obviously, I’m monitoring it every week with our business. They have done a good job to address the situation. The month of September is showing good improvement over August, and we won't be there by the end of the third quarter, but we will be by the end of the fourth quarter and I’m hoping that the fourth quarter, full quarter operating margins is substantially close to where we need it to be certainly by the end of the year, the run rate.
Eric Stine: Okay.
Jim Porter: And Eric, it's Jim. I will just comment on Framing Systems. Similarly, the timing of the work that we have, Q3 is a bit lighter, but we see the run rate and the work ahead of us from Q4 carrying forward into fiscal '20.
Eric Stine: Okay. Maybe a good segue, just you did give the visibility that you’ve got in the Services business, '19 booked and fiscal year '20 virtually booked. Just wondering if you can give similar commentary, I know you have in the past, on the -- on Glass and Framing, and certainly on Glass just given the level of orders you saw in this quarter or you've seen over the last quarter plus.
Joe Puishys: Yes, order to delivery lead times are substantially lower in those. Glass and most are for the six Framing Systems businesses. I mentioned it briefly. Our backlog in Glass increased in the quarter, obviously partly due to our problems, but also as I mentioned, we had substantially higher orders than any order in the last 15 years and virtually in the history of the business. That continues, we’ve already had a strong start to September. The business is starting to work down its lead times and I would say they feel better about fiscal 2020 than they’ve about any next year out at this time in the fiscal year. So, we feel pretty solid about fiscal '20. We did have lower revenues in Q1 and Q2. Obviously, the comps next year are going to be substantially easier, but the overall state of the orders and the bidding activity is substantial. I mentioned it. We’ve won back some of the share in the large project segment. That was welcome, but it did come with pretty short notice to be frank about it, and that bodes well for next year as well. In the Framing Systems segment, four of the six businesses are very short order to delivery. Bidding and award activity is very positive. The headwinds, we’ve achieved this growth this year in spite of some substantial headwinds from Sotawall's revenues due to the orders last year. Their backlog is up substantially this year. We will see solid growth in Sotawall's revenue stream next year. And again, we are starting to see good award activity in Canada, which is new for us since we acquired the business. It's been primarily Northeast United States. So, Sotawall is a long lead-time business and that bodes well. The others are too short, I would say, to really address fiscal '20.
Eric Stine: Yes, okay. Understood. Maybe last one for me. Just on the -- on EFCO and the legacy projects that you need to work through. Just an update, I mean, are you still thinking that, I believe, one, you are close to being done; and another, if you look out a few quarters, that will be complete as well?
Joe Puishys: Yes, that is still true. One is nearly complete. The other one will really start, frankly, to revenue in second half of Q3 and then frankly for about two years, as we will be totally focused on production. I think we've told you all that EFCO is solely responsible for building the system. Our Services business will be doing the installation and installation management over this couple year project.
Eric Stine: Okay. Thank you.
Joe Puishys: We expect low margins, but it is expected to be profitable. Thanks, Eric.
Operator: Our next question comes from Chris Moore with CJS Securities.
Chris Moore: Hey. Good morning, guys. Joe, you talked a little bit -- yes, good morning -- about geographic expansion. Can you maybe get a little bit more specific there? And is there any fear in terms of, from a labor perspective or anything like that, or kind of any challenges that you see on that front?
Joe Puishys: Yes, we’ve done painstakingly detailed analysis of the workforce where we are talking about, I'm obviously not going to get into specifically which business and which location, but these are very profitable businesses for us. They have handled internal expansion quite well up till now with investments in the regions we're looking at. Things we’ll be talking to our Board about are in some of the best -- better labor markets out there. Our biggest challenge, frankly, as a company has been Southern Minnesota. Some people have asked, why did you shut that factory down in Utah, if you saw this coming? That's a fair question. But frankly, the capabilities of the Utah factory would have only had a minor help in our second quarter struggles to meet this ramp up in production. So that wouldn’t have really helped us. The issue is the labor force in Southern Minnesota frankly. We’ve made some adjustments to our pay scale. The team has come up with some innovative recruiting techniques, and our expansion plans would be in other regions of the U.S., in both -- in all of our segments.
Jim Porter: Chris, as you know, geographic expansion is an important strategy really across all of our businesses and in our process for looking at those, availability of labor is frankly the top criteria in all the evaluations that we look at for expansion.
Joe Puishys: And Chris, we are talking about internally investing in equipment, processes in our very profitable businesses as opposed to acquiring a stranger in that particular part of the world or U.S. And I’m sure the investors will respect that and appreciate it.
Chris Moore: Got it. That’s very helpful. You went through it, Joe, but I missed it. Just in terms of the EFCO margin progression, so -- I know you are talking about being profitable second half of this year in EFCO. It is -- from a kind of trajectory standpoint, is it just going to be slow and steady over the next couple of years? Is there any point where that likely would spike?
Joe Puishys: It will be slow and steady. We are in the midst of an announced investment in the factory there that the prior leaders of the business under the prior parent were trying to get approval for. I understand why the prior parent didn’t approve it, based on their long-term plans to exit that non-residential business called EFCO. We have approved that and we -- it's been in the press that we are adding some substantial cost or investment for the factory in Monett, Missouri and that will be done in about the May timeframe of next year, May, June. And we will really start to amp up the productivity improvements in that business. I would say slow and steady until then we still have purchasing synergies we're driving and over the next three years, my goal is for a couple hundred basis points of margin expansion each year.
Chris Moore: Got it. That’s helpful. I will jump back in line. Thanks, guys.
Joe Puishys: Thanks, Chris.
Operator: Our next question comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Hey. Thank you, good morning.
Joe Puishys: Hi, Brent.
Brent Thielman: Joe, on Glass, with lead times shorter and orders pretty strong here, I guess, I’m confused why we wouldn’t see faster growth this year even with the inefficiencies. Is that because you are picking up more of the larger-project business?
Joe Puishys: No. You will see -- we’ve been on a downward trajectory on orders for the last four quarters prior to Q2. We had been talking about the wave was coming. You would think we would have been better prepared and it's unfortunate that it caught us by surprise, the magnitude and then it started to snowball. And if you've ever run a factory when you're overwhelmed with business, it starts to become a fire drill and a crisis and it's unfortunate. It -- we are working out from under it. We’ve seen improvement. But the main issue was in June, where the avalanche hit. July was slightly better. August was slightly better. September will be better. We will see nice growth in revenues in Glass in the second half of this year and next year. So, the revenue growth is coming, Brent. The reason we didn't see it in the first half of the year was simply the flow of orders in the last two quarters or last three quarters of last year and the first quarter of this year, it's come roaring back. As I mentioned, we don’t really publish backlog in that business. Typically, we have always historically strived to be a 12-week lead time business. We managed that down to 6 to 8 weeks consistently, which allowed us to win share in the mid markets. The avalanche of orders have driven up the lead times and we are fighting to get those back in the next 90 to 120 days. And as we manage that backlog down, you will see pretty solid revenue growth in the second half of the year in Glass.
Brent Thielman: Okay. And then I guess given some of the challenges there, are you -- I mean, are you deliberately kind of laying off the gas pedal in terms of accepting new orders? And I guess, also in addition to that, given what you are seeing out there, do you need to think about another round of hires in response to demand?
Joe Puishys: They continue -- let me work backwards, they do continue to hire. They’ve learned a lot. We -- a lot of the people we've hired are -- English is not their first language, so we’ve actually had to amp up our recruiting and hiring of translators. That’s in place. We still have more hiring to go for the second half of the year, but let me be clear, Brent, we're clearly beyond the blip, the crisis, the substantial bump in the road. The business has learned how to improve. We’ve been bringing other resources in from Apogee. I’m fairly confident in the hiring plans for the second half of the year as we move forward.
Brent Thielman: Okay.
Joe Puishys: And you asked something before the hiring, I forgot, I’m sorry.
Joe Puishys: Hey, Brent, it's Jim. So we continue to take orders. I think, at the end of the day, some of the kind of mid-market work requires shorter lead times. As Joe said, we’ve made improvements to that and we are still largely competitive with kind of regional fabricators, but we continue to actively pursue all potential work that’s out there.
Brent Thielman: Okay. And then one more and I will get back in queue. I guess within that segment we’ve seen sort of a reversal in the dollar again. It doesn't seem like it's impacted the order trend by any means, but just curious if that’s changed any competitive behaviors out there?
Jim Porter: Yes, I mean, we continue to flub around in the $1.15, $1.17 area, U.S. dollar to the euro, which is the most important exchange rate issue for us. I would love to see it go back in the $1.25 range. It's not -- nothing has changed because of where it is. You know, Brent, the biggest issue, even really good competitors that we respect greatly, it is a challenge to have such a long logistical supply chain. It does come with unanticipated costs, hidden costs and when you complete a project and realize the total delivered cost wasn’t quite what you expected, if you have to expedite glass, it's extremely expensive. It may not be the glass fabricator's fault. Somebody has to cover that cost. We started to see some customers that were the first to leave us to test offshore glass due to the cheap price come back to us in a fairly big way. So I would say it's balanced. We’ve gained some of the share back, we like our position. This issue helped us become better in the mid-market, this second quarter, blip aside. We are learning from it, but we’ve become better in the mid and small project size with consistent deliveries. We’ve got to do a better job of balancing being capable to take on $6 million projects and $60,000 projects as well. And I think the business is well prepared to do that and we are getting -- we are very close.
Brent Thielman: Okay. Thank you.
Joe Puishys: Thanks, Brent.
Operator: [Operator Instructions] Our next question comes from Jon Braatz with Kansas City Capital.
Jon Braatz: Good morning, Joe, Jim.
Joe Puishys: Good morning.
Joe Puishys: Hi, Jon.
Jon Braatz: Just a follow-up on that last question. In the last -- in this past quarter, you hired 300 new people in Architectural Glass. What do you think going forward the magnitude of the hiring number will be relative to the 300 you did in this past quarter?
Joe Puishys: Yes, it's -- maybe a third of that. One of the issues we had, Jon, was to get to net the 300 adds, we probably hired actually about 600. It's tough work. It's not simple. And by the way, that 100 we still have to add is over both the Georgia and Minnesota facilities, but it's a challenge. And as I said, should we’ve been better prepared? We knew we had a tight labor market. That was not a surprise. I would say in the last year, maybe more the labor market, since the last time we had to go through a hiring effort like this, the market has gotten substantially tighter. We, like all manufacturers, are facing a labor shortage and we just missed it. We did not anticipate the challenges of getting qualified workers. Those that make it through the first 90 days stay and they’re good employees, but there's a ton of turnover in that first 30 days, which cost us dearly. I’m not anticipating these kinds of issues in Q3 or Q4, although we still have some hiring to do, but we’ve got the center of gravity behind us now.
Jon Braatz: Of the -- when you look at the 400 new hires you might be making or will make …
Joe Puishys: Counting the 300 we already have? …
Jon Braatz: Yes, yes.
Joe Puishys: … not 400, is it?
Jon Braatz: Yes, yes, exactly. As the market stabilizes, two questions. Number one, will you continue to need those 400? And then, secondly, I guess a bigger question is, over the last couple of years you’ve invested heavily in automation productivity and so on in the Glass business. Why wasn’t that better able to handle the incoming orders more efficiently?
Joe Puishys: Well, that’s a fair question and you won't like the answer, but the truth of the matter is, it would have been substantially worse if we had not made the investments we’ve made in automation. The automation is expensive. It does have returns. When you see the impact of the quarter, you could argue that the returns are probably better than we had modeled. We have substantial opportunities. Those that have walked our factory have seen the automation on the front end kind of in the cutting area, and then the back end where we build IGs, insulated glass units. There's a substantial opportunity in the middle of the factory. It's not cheap. We evaluate it. I do believe that you asked a question I expected earlier in this call, is how are we going to manage when there's a downturn in orders? We don’t anticipate -- we still feel we are going to continue to see end markets that slowly grow, bounce along the top, continue to grow. But within that, I would say within this up market, we are seeing a trend towards more egregious peaks and valleys. So, as you have -- if you plot out the last 3, 4 years, you will see this trend up, but you start to see the intra quarter, the intra year ups and downs have very violent peaks and valleys. It's kind of the overreaction to news in our world, in our markets. The overall trend is good, but we’ve to get better at managing the short-term peaks and valleys. We took a week out of production in our Q1. That was a mistake. We should not have done that. The -- hiring those people back turned out to be more challenging. We will be more careful. We may be not micromanaging the P&L in one month at the expense of the next, so we will look at that. We do still have a substantial amount of temporary labor that we can use to more appropriately flex our workforce and we continue to work on more creative hiring practice. And as I mentioned, we made some payroll adjustments for certain job classification to help us where we are having the highest turnover. So, all in all, I do feel good about our ability to manage this going forward so we don’t have to explain operational mis-performance going forward.
Jon Braatz: So, would you …
Jim Porter: We do, Jon, continue to have projects that are still in the process of being implemented in additional automation so that with the long-term eye of continuing to do whatever we can to automate.
Jon Braatz: Okay.
Joe Puishys: Jon, one metric I will give you, I will let you ask all your questions, …
Jon Braatz: Okay.
Joe Puishys: … our orders in Q2 were 50% greater than the orders of both Q4 and Q3. So -- and those quarters had come after a few quarters of decline. We should have kept our workforce in place if we had seen that we were going to be -- our run rate for orders in the second quarter would annualize out at revenues 20% higher than our record year. So we don’t expect every quarter to be this high, but it does show you. And it's a shame at a time where we should have been minting money, we were creating productivity problems with quality and rework, and it is a shame. It's embarrassing. But like I said, I believe we're on the right path to have this behind us very quickly.
Jon Braatz: Ultimately, Joe, would you consider some of the 400 new hires to be temporary?
Joe Puishys: Not at this time. Certainly, we’ve an ongoing temporary labor force that’s really outside of the new hires …
Jon Braatz: Okay.
Joe Puishys: … that we would use to flex our workforce.
Jon Braatz: Okay. All right. Thanks, Joe.
Joe Puishys: Thank you.
Operator: Our next question comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Hey, guys. I’m not going to ask about Glass. Just on the Framing Systems margins, and it does look like they’re bouncing back after the last couple quarters. Just anything unusual? Is this pretty solid evidence you are surpassing some of these issues at EFCO?
Joe Puishys: Yes. So let me comment, just listen, there are six businesses in Framing Systems. They are all in the related markets, but every business will have some fire on eight cylinders, some fire on seven. You always have red lights and green lights in a particular quarter. All in all, we like where the business is going. Our most profitable businesses are growing the fastest. The headwinds at Sotawall will be behind us. I’ve got a new leader, of course, that started earlier this year at EFCO. He's doing a terrific job. We put a brand new -- we put a new sales leader in, a proven executive from my team. He was running our retrofit initiative. He did a fantastic job with that, built a team to take over. He ran our Wausau sales for several years. He worked in our Harmon services business before that. I respect him more than anybody and he is now leading our effort at EFCO to help us drive top line so we can better leverage the operational improvements we're making. So I feel really good about the long-term for Framing Systems. Short-term, there will always be puts and takes within a quarter anytime we have six different businesses.
Jim Porter: Yes and really the drivers in our Architectural Framing Systems segment are volume leverage and project selection and productivity. And so we see that, particularly, as we look to the fourth quarter, where we really see more of the volume leverage to go through and be able to help the project selection is really a key attribute, primarily in our longer lead-time businesses where we’ve had some of that move out. So, Q4 and into next year, that segment is really well positioned.
Brent Thielman: Okay. But the problem contracts at EFCO, you are effectively surpassing those now?
Jim Porter: Yes. Yes. As Joe described, the one project is -- we are like 98% complete. And so, I mean, that’s just a drag because it's a little bit of work that has costs associated with it. But overall, it's really the -- and the other project is really just starting. And so it's really that core business and getting -- we are making nice progress on the productivity initiatives, continuing to drive to grow the order intake on that core kind of bread-and-butter business, that was their business. As we look later in the year, we start to see some momentum with that.
Joe Puishys: The project Jim referenced that's just basically starting, we’ve incurred a lot of cost and headwinds to get to this point. So, this is a big milestone where we are pretty much now past or getting past the engineering and hopefully can totally focus on producing units and I’m more comfortable with that. Getting to this stage has been a battle. We're not quite there, but we are almost there and I expect in the third quarter, we will be focused on producing instead of designing.
Brent Thielman: Okay. And then just one on Services, Jim, I don't think you said what portion of backlog gets done this year and then what percentage into fiscal 2020?
Jim Porter: Yes. It's about little less than 50% this year and then the rest beyond that. Some of it, I don’t have the specific breakout between fiscal '20 and '21, kind of quarter-to-quarter, that moves around. But this year is fully booked and next year is largely booked.
Brent Thielman: Okay. Thank you.
Joe Puishys: Thanks, Brent.
Operator: And I’m not showing any further questions at this time. I'd like to turn the call back over to Joe.
Joe Puishys: All right, Kevin. Thank you. And to all of you, I appreciate your time and patience today. I realize we had a self inflicted wound in the quarter, which contributed to our miss to your expectations and ours, but as I said, this is an episodic issue. It's not a symptom of the health of the Glass business. We will restore that to its rightful place of double-digit operating margins before this year is out. We look forward to further engagement with many of you that are on this call over the next day or two and over the course of the quarter and we look forward to delivering better results in all of -- in our Glass segment and the rest of Apogee as we go through the third quarter, and I appreciate your time today. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect and have a wonderful day.